Operator: Good afternoon. Thank you for standing by, and welcome to the Green Brick Partners, Inc. Fourth Quarter 2023 Earnings Call. All lines have been placed on mute to prevent any background noise. After the speakers there’ll be a question-and-answer session. [Operator Instructions] I would now like to turn the conference over to Rick Costello, Chief Financial Officer. Please go ahead.
Richard Costello: Good afternoon, and welcome to Green Brick Partners Earnings Call for the Fourth Quarter ended December 31, 2023. Following today's remarks, we will hold a Q&A session. As a reminder, this call is being recorded and will be available for playback. In addition, a presentation will accompany today's webcast and is also available on the company's website at investors.greenbrickpartners.com. On the call today is Jim Brickman, Co-Founder and Chief Executive Officer; Jed Dolson, President and Chief Operating Officer; and myself, Rick Costello, Chief Financial Officer. Some of the information discussed on this call is forward-looking, including the company's financial and operational expectations for 2024 and beyond. In yesterday's press release and SEC filings, the company detailed material risks that may cause our future results to differ from its expectations. The company's statements are as of today, March 1, 2024, and the company has no obligation to update any forward-looking statement it may make. The comments also include non-GAAP financial metrics. The reconciliation of these metrics and the other information required by Regulation G can be found in the earnings release that the company issued yesterday and in the presentation available on the company's website. With that, I'll turn the call over to Jim. Jim?
James Brickman: Thank you, Rick. 2023 was an absolutely stellar year for Green Brick. We closed out 2023 with record results that reflect our strategic advantages, our disciplined approach and the successful execution of our strategy by our talented and dedicated team members. I want to express my deepest gratitude to every employee who embraced our values set forth in our acronym home, which represents honesty, objectivity, maturity and efficiency. Our year was highlighted by the following record performance that we set in 2023 for the full year, record home closings revenue for the year of $1.77 billion, record homebuilding gross margin of 30.9% and record diluted EPS of $6.14. We also set a record for the number of homes closed for any fourth quarter at 825 units. Significantly, our net new orders for the full year increased over 70% year-over-year to a record 3,356 homes sold. As you can see in Slides 4, 5 and 6, our net new order growth rate ranked the highest among our public builder home madling peers. We also again achieved the highest gross margin of the public homebuilders in the fourth quarter and experienced the largest homebuilding revenue growth for the full year. In 2023, we grew our book value by 26% to $27.84 per share. Additionally, we achieved a return on average equity of 24.9% despite having low leverage with the net debt to total capital of only 11.4%. Looking ahead, we believe that our ability to source and entitle land, rigorous land underwriting and continued operational improvements at our division management and land development teams will continue to provide superior risk-adjusted returns. Consumer confidence remained resilient in 2023 despite higher mortgage rates. We continue to see healthy demand for new homes in our markets driven by demographic tailwinds and the lack of supply of existing homes entering the marketplace. More importantly, DFW our largest market, representing 71% of homebuilding revenues has continued to be among the nation's leaders in building starts and economic growth. According to U-Haul, based on the rental of One U-Haul equipment. Texas netted the largest number of movers in 2023, making the third consecutive year it has finished at the top, including Dallas and Austin, ranking the top 10 cities with new residents. As shown on Slide 7, DFW was number one over the nation's 12 largest metropolitan statistical areas in terms of job growth as of November 2023, with almost 140,000 new non-farm payroll employment added in a trailing 12-month period. DFW had a 3.3% job gains rate that was almost double the 1.8% national increase, being the third largest homebuilder in one of the biggest homebuilding markets, Green Brick continued to benefit from favorable demographic trends and job growth in the region. We also believe there's a large pool of talent national demand with 3 million additional millennials and Gen Z members entering the homebuilding market over the next decade as reflected on Slide 10. We believe that bodes well for DFW, Austin, and the Atlanta metro areas, all of which have a younger population compared to U.S. average. According to U.S. Census, 45% of the U.S. population is under the age of 35. The percentages are 49% for DFW, 48% for Austin and 47% for Atlanta. Sales of existing homes in 2023 dropped 19% year-over-year and fell to the lowest level in almost 30 years, highlighting the persistent golden hand cuff effect on existing homeowners were locked into low fixed rate mortgages, they are unwilling to relinquish as shown on Slide 8. The impact is more prominent in desirable infill and infill adjacent submarkets where we have a strong presence, broadening our industry relieving results. Over 80% of our revenues in 2023 were generated in these infill submarkets. We believe that Green Brick is uniquely equipped to take advantage the current market conditions with our strategic advantages and land position and development entitlement expertise. We consider ourselves to have one of the best land positions through years of consistent strategic land acquisitions in infill and infill adjacent submarkets. Our decentralized approach in sourcing land acquisition and land development has allowed us to unlock more high-quality land opportunities and amplify the strength of each builder. Each of our builders is unique, has decades of market advantages from deep and extensive connections in their local markets that positions them to source strong land and lot positions. Our builders' extensive local knowledge also enables them to address more complicated entitlement, regulatory and development processes in infill locations. We believe that our ability to self-develop in markets where land developers are scarce, gives us an upper hand in generating the highest homebuilding gross margins in the industry as well as having better control of a lot delivery scheduling and cost.  As a result, approximately 83% of our total lots were owned on our balance sheet at the end of 2023. We believe we can continue to generate better returns than most peers who adopt land-light models that carry a hit cost, a high capital paid to the providers of off-balance sheet financing. On February 1, 2024, as previously announced, we sold our 49.9% interest in Challenger Homes back to its founder. We intend to use the proceeds of that approximately $64 million for investment in our other builders or other potential opportunities in larger markets where Green Brick is staying control owner. Our current focus is on the growth and expansion of our Trophy Signature Homes brand into the Austin market and other potential new markets. Our goal is to invest in large markets with strong economic and demographic fundamentals where we can achieve scale and similar operational metrics as we do in our current markets. With this in mind, we are excited to announce that we just closed our first land transaction in Huffman, Texas, 25 miles northeast of Downtown Houston.  The neighborhood will be co-developed with one of the largest public builders in the country, the 920 home community has excellent access to the newly constructed Grand Parkway, which provides proximity to major employment centers in the oil and gas industries, such as the Exxon corporate headquarters. Murphy Signature Homes will have 460 home sites with lot with ranging from 40 to 50 feet.  Construction of the homes is currently stated to start in the second quarter of 2025, and we anticipate opening for sales in the late summer of 2025. This is our first community in the Houston market and is in a location into which we have been interested in expanding for several years. Houston, the fourth most popular city in the U.S. was the largest homebuilding market with the most new home construction in 2023. Similar to DFW, Houston has a young and growing population and a strong market that we believe will create demand tailwinds for entry-level and move-up homes. Trophy, is in an excellent position to capture this demand with their value-rich products. With that, I'll now turn it over to Rick to provide more detail regarding our financial results. Rick?
Richard Costello: Thank you, Jim. Please turn to Slides 11 and 12 of the presentation. Home closings revenue for the fourth quarter grew 4.6% year-over-year to $448 million, bringing full year home closing revenues to a record high of $1.77 billion. This represents a growth rate of 4.2%, the highest among public homebuilders. Our public peers experienced an average home closings revenue decline of 5.6%. Revenue growth was driven by a 13% year-over-year increase in homes delivered to 825 units, partially offset by an 8% decline in ASP to $544,000. The anticipated decline in ASP was predominantly driven by a year-over-year increase in the percentage of Trophy Signature Homes closed homes in more perimeter locations as well as by a change in product mix within Trophy. Trophy represented 45% of the total number of closings in 2023 versus 38% in 2022. Our homebuilding gross margin continued to lead our public homebuilding peers, as shown on Slide 4. During the fourth quarter, gross margin remained elevated at 31.4%, up 520 basis points year-over-year. The sequential decline of 190 basis points from Q3 was due to higher incentives on spec homes when mortgage rates peaked in October. Full year gross margin was 30.9%, the highest full year margin in company history and the highest among our public homebuilding peers. Net income attributable to Green Brick and diluted earnings per share for the fourth quarter increased 31.5% and 33.9%, respectively to $73 million and $1.58 per share. For the full year, diluted EPS increased 2% year-over-year to $6.14 per share. During the fourth quarter, net new home orders increased 61% year-over-year to 679 homes sold. For the full year 2023 net new orders increased 70.1% year-over-year to 3356, the highest growth rate in the homebuilding industry and the highest number of annual new orders in company history. Jed will provide more detail on the sales environment shortly, but limited competition from both existing homes and new construction in our infill and infill adjacent locations have allowed us to meet the unmet demand in the Sonata locations. Active selling communities at the end of Q4 increased 14% year-over-year to 91. Our quarterly absorption rate increased 38% to 7.6 homes for average active selling community. For the full year, our quarterly absorption rate was 9.9 homes per average active selling community. Our cancellation rate for the fourth quarter remained low at 7.2%, the lowest among public homebuilding peers as shown on Slide 13. Our backlog value at the end of the fourth quarter increased 50% year-over-year to $555 million, backlog ASP slightly increased 4.9% to $721,000. Trophy is one as a spec homebuilder with high inventory churn rates and now represents a low percentage of overall backlog value at approximately 10%. Back units under construction as a percentage of total units under construction sequentially to 70% at the end of the fourth quarter due to the higher number of specs at Trophy, which reflects our intentional strategy to provide homes nearing completion to qualified buyers ready to close. As shown graphically on Slide 13, to satisfy the appetite for homes in our target markets, we ramped up starts further to 948 units during the fourth quarter over triple the starts in 4Q '22 and up 8% sequentially. For the full year, we started 34% more homes year-over-year for a total of 3,327 starts. Our home starts for the last 9 months have now averaged almost 900 homes per quarter. Our industry-leading results would not have been possible without our financial discipline and investment-grade balance sheet. We believe that our strong balance sheet demonstrates our ability to manage capital effectively, operate and execute our strategies efficiently withstand challenges and capitalize on opportunities for growth. At the end of the year, our net debt to total capital ratio was 11.4%, and our debt-to-capital ratio was only 21.1%, 1 of the lowest among our public homebuilding peers as shown on Slide 6. 100% of our debt outstanding at year-end is fixed rate and with a weighted average interest rate of 3.3%. Our low leverage and cost of debt have enabled us to retain more profits to fund our growth. Additionally, we have $180 million of cash on hand at the end of the year, ready to deploy for strategic opportunities that we believe will bring strong returns for our shareholders. With that, I'll now turn it over to Jed. Jed?
Jed Dolson: Thank you, Rick. Net orders for the full year grew 70% year-over-year, the highest growth rate in the industry. To achieve this growth, we constantly assess our sales each day in all communities. We monitor demand, mortgage rates and our competitors and then adjust pricing and incentives as needed. Incentives peaked in October when mortgage rates hit a 23-year high. However, demand quickly resumed in November and December as some buyers were ready to take advantage of the decline in mortgage rates. As a result, incentives drop from 6% in October to 5.2% in December. Net orders remained steady in November and December, despite the typical sales slowdown around the holiday season.  We won't be specific on early 2024 orders other than to say sales velocity thus far in the quarter have meaningfully accelerated from our Q4 levels. And as always, we remain diligent on monitoring any shifts in the market dynamics. The lack of supply in affordable homes has created a favorable backdrop for our value proposition builder, Trophy Signature Homes. Trophy was founded in 2018 and offers more affordable products that cater to both entry level and first time of epitome buyers. We believe homebuyers targeted by Trophy represent a deep and growing pool of potential customers. Since its founding, Trophy has grown from 33 closings in 2019 to 1,378 in 2023 as shown on Slide 14.  Each share of Green Brick's revenues has also grown from less than 2% in its first year to more than 38% in 2023. In 2023, Trophy was individually ranked as the seventh largest homebuilder in DFW based on number of starts. We believe that 2023 was more than just a successful year for Trophy. It can also serve as a springboard for sustainable growth going forward based on our lot inventory, product desirability operational efficiency and scalability. Trophy's homes feature Aerie, open space and resonate with customers from wide-ranging and backgrounds, especially among our younger buyers, many features that come standard with trophy or expensive upgrades with other builders. Trophy is also a leading builder and constructing energy-efficient homes that bring savings to homebuyers for years to come, including offering in many homes, fully encapsulated spray foam insulation, tankless water heaters and Energy Star appliances. Trophy is designed to be efficient and spec heavy. This strategy is critical in the mortgage rate environment as many homebuyers today favor move-in rate homes. Our streamlined home buying process, including a high-level standard features, eliminates decision fatigue for many buyers. This approach also creates predictability in material selection and cost enabling Trophy to be efficient in managing the construction process with purchase orders and simplified start packages. As a result, the current cycle time for Trophy is 3.9 months compared to a peak cycle time of 9 months in 2022. For Green Brick overall, the current cycle time is 5.7 months down from peak cycle time of 10 months in 2022. Trophy's construction model is also highly scalable and location agnostic. We were able to successfully apply Trophy's play growth across the DSW Metroplex as well as Austin, a more challenging market than DFW in 2023. We have had great success in Austin since we opened our first community at the end of July of 2023. The sales pace in Austin during the fourth quarter averaged 4.5 homes per month, while incentives were consistent with Trophy's DFW market and we look to recreate the same success in Houston in 2025. As we look forward, we remain focused on investing in land in a disciplined way. In 2023, we spent a total of approximately $425 million in purchases of land and finished lots as well as land development. We expect to ramp up our spend in 2024 for raw land acquisitions, finished lot purchases and land development to approximately $700 million in total.  Ultimately, the strong buyer demand we've seen across all of our brands confirms our belief that strategically located infill and infill adjacent communities represent a significant opportunity for growth and high sales velocity. With strong starts and shorter cycle times, we believe that Green Brick is entering 2024 with a strong platform for generating growth and continuing to provide strong returns to our shareholders. Lastly, during the fourth quarter, we resumed stock buybacks and repurchased approximately 374,000 shares of stock at $47.9 per share. For the full year, we repurchased 1.18 million shares of stock at $38.46 per share for a total of $45.3 million representing approximately 2% of our shares outstanding. Share repurchases will remain in our toolbox as we continue to evaluate other investment opportunities as we strive to continue to deliver one of the best risk-adjusted returns in the industry. With that, I will turn it over to Jim for closing remarks. Jim?
James Brickman: Thank you, Jed. 2023 was a phenomenal year for Green Brick marked by record results despite a challenging high interest rate environment. I would like to extend my heartfelt appreciation to our employees for their collective efforts in delivering exceptional homes to thousands of homebuyers as well as generating industry-leading performance. We remain steadfast in our commitment in delivering long-term value to our shareholders. As we look forward into 2024, the dynamic housing landscape creates many opportunities. Our land and lot positions, financial strength and highly motivated and experienced employees sets the stage for an exciting future. In closing, I'm extremely pleased with our first quarter results and we look forward to building on this momentum in the quarters to come. This concludes our prepared remarks, and we will now open the line for questions. Thank you.
Operator: [Operator Instructions] Your first question comes from the line of Alex Rygiel with B. Riley. Please go ahead. 
Alexander Rygiel : Thank you. And congratulations, gentlemen, a nice year. A few questions here. First, definitely sounds like sales activity in the early part of this year has started very, very strong. It appears that the first quarter over the past three years has been your highest new order period throughout the year. So I guess my question here is two parts. Number one, maybe you can kind of help us to understand that sort of quarterly cadence that you've realized over the last three years? And why that is relative to your business? And then secondly, do you anticipate that the first quarter of 2024 could also be the biggest quarter of the year for net new home orders.
Jed Dolson: Alex, this is Jed Dolson, Yes, you are correct that this spring is looking a lot like last spring for us, which has looked like the spring before that. I think historically, the spring market in real estate has been the biggest quarter, and we're no different than probably other builders and seeing that same trend.
Richard Costello: Alex, this is Rick Costello. Thanks for joining. In 2021, early 2021, that's when price wasn't stopping anybody from buying. We were raising price and people were just pounding down the doors. Last year, it ended up being the high mark for the year because of what happened to rates in Q2. And basically, for the last 6, 7 months of the year, nobody was selling houses. So that was a little bit of an anomaly. But 2023, the buyers woke up. Like Jed said, they've woken up again, certainly the movements in stabilization in rates last year and them actually coming down early this year, have been certainly blessings for the buyers.
Alexander Rygiel : And then secondly, when you think about the increase in land spend, have you witnessed any land price inflation out there in the marketplace? Or do you anticipate any?
James Brickman: This is Jim. We have seen land price inflation. It's a competitive business for the better sites. A lot of the large peers, just like Green Brick have deleveraged, they have a lot of cash. We think that we still have a strategic advantage in the land side of our business because, particularly in some larger neighborhoods where they have mixed product types that we can put a Softgate homes in that's a high price point, a CB JENI that’s a townhouse price point and really unlike a pure lot developer when we're going through the entitlement process, we can actually show the municipalities product that we're going to build.  It's not a product that might sell to some other builders that's a townhouse builder or a volume production builder. And we think that's really a huge advantage when you're going through the entitlement process, plus it's not like it's the first time we've built a neighborhood in many of these communities where we're doing entitlement. It may be our -- how many communities we've done in Frisco, and that's a very difficult community Gen 14 and 15 so we have a long track record in these larger very active communities of doing what we say we're going to do, and they have a long, good history with us.
Richard Costello: Alex, this is Rick again. One of the dynamics here is that Green Brick really is different from most of the homebuilders out there, we are not doing anything off balance sheet. We don't have a double-digit cost of capital on buying finished lots. When we're talking about land prices, these are not -- these are deals that are being underwritten now that we're looking at bringing the loss to the market in 2025, 2026.  We have a huge number of lots on our balance sheet that we've been developing. We are not -- because we're not buying finished lots, most everything is self-developed, -- we're not going to see that what's happening on the land side until '25, '26. And on the lot side, we're going to look like last year. In terms of cost perspective.
Operator: Our next question comes from the line of Carl Reichardt with BTIG. Please go ahead. 
Carl Reichardt: Thanks. Hey, guys hope you are doing well. So, Jed or whoever wants to answer this, we've seen a lot of your peers move over the last few years pretty aggressively into what would be considered entry-level housing, low-end price points. So as you look at what they're doing and you contrast Trophy Signatures product and strategy tactics, however you want to put it, what do you think the relative advantages of trophy are over the product that other builders are putting up for that similar consumer.
Jed Dolson: Yes, sure, Carl. I'll start with just reminding everybody that 60% of our business is non-Trophy today. And is -- those are infill locations where we face very little competition, 40% is Trophy, we think the advantages there are that we are infill adjacent. We're in really attractive lot prices and better locations than say, these D&F locations. Additionally, our homes are very energy efficient compared to most every peer.  We utilize -- or we get the 45L rebate credit back on about 100% of Trophy homes this year. And the architecture is a little bit newer and fresher than some of the stuff that older builders that have been doing this for a long time have been doing. So as we mentioned during the call, Trophy has grown to the seventh biggest builder in DFW, which is the largest housing market in the country. We're very proud of that fact, and we're trying to climb even further up that ranking.
James Brickman: Carl, we were pleasantly surprised that 1 of the top 3 builders, I'm going to keep it in the group -- almost kind of dumbed down and copied some of our more contemporary elevations. We found that many of the millennial buyers really don't want to live in their parents entry-level home, and that's really been branding typically is an interesting thing to analyze, but they really don't want to live in their parents' home or the largest builders home.
Carl Reichardt: Yes, I understand I appreciate the comprehensive answer. And then, Jed, you also -- I think you Jed, you said something kind of interesting about Austin and its ramp and the sales pace that's strong. But you said that incentives there were kind of consistent with what you saw. I assume you met with Trophy in Dallas. And it seems like the Dallas market, generally speaking, has held up better sort of if you look at the macro data than Dallas has. So I'm interested in that dynamic. And then the follow-on related to incentives is I know you're not talking about order cadence and the first quarter yet. But can you talk about the trend in sales incentives or pricing across the Green Brick portfolio in the first quarter thus far?
James Brickman: We can all take that, Carl. We're actually in Austin right now. We do win on property tours, all day yesterday and looked at some properties we have under contract. And it's tougher than Dallas, margins are lower than Dallas, incentives are higher than Dallas. At the same time, we think Austin is sixth or seventh largest housing market in the country. We're very excited about the long-term -- I think we look at things differently than many public builders.  We aren't trying to juice any quarter up or any next quarter up. We're really looking what's the best for our business four and five years down the road. And so yes, incentives are greater here, margins are lower here, but we think our Trophy is going to be really a top builder here eventually 4 or 5 years down the road.
Richard Costello: Carl, this is Rick. Thanks for your questions. From a directional standpoint, incentives are down in the first quarter from where they were through Q4. Like Jed said, over 60% of our business is not Trophy and which means that's all in infill, infill adjacent pretty much. We have seen demand through the first quarter in every single price point. We're selling $300,000 to $2 million. And -- so we're -- it's not just a Trophy story, but certainly, from a sales floor standpoint, we have everybody pit and stride with sales success and margin success.
Carl Reichardt: Thank you, Rick. I’ll get back in the queue. 
Operator: Our next question comes from the line of Jay McCanless with Wedbush. Please go ahead.
Jay McCanless: Good afternoon, everyone. The first question I had, you called out the co-broker being up, and that was the reason SG&A delevered. What are those trends doing in the first quarter, similar or getting any better?
Richard Costello: It's been consistent -- Jay, it's Rick. How are you doing? It's been consistent since really the end of '22 that we've seen the co-broke activity back to where it was and the payments are back to where they were. So there really were no surprises that are our SG&A has been consistently higher throughout 2023, by about a percentage point, maybe a little bit higher for the full year, a little bit less for Q4. I saw you had a comment today. There are no SG&A surprises, but I think that -- when you look at non-controlling interest, it was a little bit higher in Q4. But year-over-year, that number is right on top of '22 number in '23. So I think that fall to the bottom line is one of the reasons that you saw a little bit of an earnings differential between the analysts and what Green Brick accomplished. Also, the other factor there was the average selling price, where we're now we were 551, I believe, in Q3 and 544 in Q4.  We should continue at that level throughout 2024, mine to mix on the close is going to be a little bit higher than a lot of builders will experience and you might see some variation around that mid-500 number, simply because when you're selling houses from $300,000 to $2 million, you're going to get that variation. But we believe we're in a stable environment from a cost standpoint as a stable environment, hopefully, on the -- depending on interest rates on the incentive side. And we should see a fairly consistent ASP as well. But volumes are looking good. As we've said, we're hitting around 900 a quarter on starts right now. So 2024 is looking good.
Jay McCanless: So what then -- you're saying mid-500s for an ASP is what we should expect?
Richard Costello: Correct. 
Jay McCanless: Okay. 
Jed Dolson: Now you won't see that in our ASP on backlog because Trophy is only 10% of our backlog now because it is a spec ready model. So we're carrying a lot of homes late in the construction process. Houses sold by Trophy. A lot of them are going straight to the closing table. So that ASP is an anomaly. Trophy sold and closed in the same quarter, 59% of their homes in Q4. So it's -- that's a dynamic that you just can't take much of a read from that backlog ASP.
Jay McCanless: Okay. And then in terms of raising prices, have you been able to raise prices at all with trophy and/or with some of the infill locations? How is that trending?
James Brickman: Yes, Jay, this is Jim. On our infill locations, and it's inversely related to the incentives, our ability to raise prices, we're raising prices very quickly on the AAA infill locations. There's no incentives. And our -- what I would consider our most remote volume production exterior perimeter locations, incentives could be 7% to 8%. So there's 0 raising prices aggressively to maintaining prices and still having to deal with incentives with a much more marginal buyer in Trophy perimeter location.
Jed Dolson: Jay, we have seen since just -- I think we mentioned in the script, December incentives were less than October incentives and that trends continued through the spring.
Jay McCanless: Okay, that sounds great. Thanks for taking my question. 
Operator: Our next question comes from the line of Alex Barron with Housing Research Center. Please go ahead. 
Alex Barron: Thank you, gentlemen, and great job this year, best wishes for this New Year. So I'm looking at your starts for 2023, and it looks like you guys were over 3,700 units obviously, much lower deliveries and orders. So I'm just wondering if that is in the ballpark of what you guys are expecting for deliveries this year? In other words, is there just basically a lag effect?
James Brickman: Yes, I think that is what we're expecting. We really don't property broadcast work, but we expect, but we're not starting homes that we don't expect to close. And we're still seeing increasing demand for our business. What do you want to add on that, Jed?
Jed Dolson: Yes. I'd just say we're very excited because we've ever since the start of COVID, we really have been facing lot delivery bottlenecks, and we really feel for the first time that we have all the lots that we need on the ground to execute our business plan for this year. 
James Brickman: And we have more neighborhoods. Rick, how many more neighbors do we have? We have about 90 now?
Richard Costello: Correct.
Jed Dolson: 83 on the average last year, I think, I verify that, right?
Alex Barron: Now in terms of backlog conversion, you guys hit pretty high numbers throughout 2023. Do you believe there's any reason that wouldn't be similar this year? 
Richard Costello: Alex, we really don't look at backlog conversion in order to figure out what our run rate is going to be the best thing you can do is look at what our starts are and how those are pacing. The -- with only 10% of backlog being in our highest volume builder, it appears that there is a high backlog percentage, but it just doesn't equate. We have a chart in our slide deck that shows the quarterly starts for the last 8 quarters. And you can see pretty clearly that we're stabilizing in that around 900 number. So that's -- that's our expectation from a closing velocity standpoint rather than looking at backlog.
James Brickman: And the other thing I want to add, Alex, is that backlogs are not created equally. When you take a look at our backlog because we take a lot more earnest money deposits from a buyer even at Trophy in Dallas, it's $5,000 versus a wish and a prayer by some of our competitors. And we have a very low cancellation rate. So when you look at our backlog, it's a much less risky backlog to analyze in some peers.
Alex Barron: Right. Maybe let it differently, is your tendency to build more spec likely to go up or stay the same? And is your build time improving? Or is it likely to stay the same?
James Brickman: It's improved. Trophy is down to about 120 days. We don't see a lot of improvement from that going forward. Jed, what do you -- your thoughts?
Jed Dolson: Yes. There's a correlation between, we selling 1 store or 2 stores we can shave a little bit more time if we're selling 1 store, we are seeing with the supply chain, the efficiencies of the move-up and second-time move-up and buyers, which represent. Or other brands other than Trophy. We're seeing those buyers select the appropriate materials at the design center, the suppliers being able to provide that material, we're able to close those houses. So as we mentioned earlier in our call, we're seeing improvement in the upper end brands as well.
Richard Costello: Alex, we should remain about where we're at right now. When you think -- when you look at Green Brick, you have to remember that we have CB JENI, the largest town home builder in DFW and our builder in Atlanta, the Providence Group builds a lot of town homes too. So we've got 2 townhome models out there as well as Trophy and all of those, by their nature, are heavy spec. You release a building out of time to sales in a townhouse community and we're releasing the houses in later stages of construction at Trophy. So we will continue to be a high spec builder. Yes, sir.
Alex Barron: Okay. And if I could ask 1 more. Obviously, you guys left the industry with gross margins this year. At the same time, things kind of slowed in the fourth quarter with mortgage rates hitting 8%. So is there any reason that your margins are going to start contracting from here? Or do you believe they're somewhat sustainable?
Richard Costello: Well, tell us what's going to happen with interest rates. 
Jed Dolson: Well, I can tell you that we haven't seen margin degradation going into this year so far, and we're keeping our fingers crossed that that's going to continue. We have a good lot position, and I don't want to give into a 15-minute explanation of how we underwrite lots and how they're stable in the longer life neighborhood, we actually gained ground versus that option lots, but we're still feeling very great that we're going to have the history leading margins in '24.
Alex Barron: Thank you very much. And best of luck. 
Operator: [Operator Instructions] Our next question comes from the line of Carl Reichardt at BTIG. Please go ahead. 
Carl Reichardt: Thanks. A few more follow-ups for you guys. One, just on a number of neighborhoods. I think you were up 16% on average Q4 versus -- I think that's the fastest you've grown since back -- right after the pandemic. How are you feeling about community count growth in '24, recognizing that you're going to have a few more long-lived communities and the mix of stores is different product to product? But in terms of growth rate there, maybe you can give me sort of a sense of what you're thinking through as you look at your book.
Richard Costello: I don't think we're really going to guide on that. Like you suggested, Carl, it really is very different for Trophy. We have many more long-term communities with multiple phases where we're rolling from phase to phase. So at other builders that those might be new communities, but for us, we're just not gapping out. These end up being really long-lived communities. Again, the best thing that you can look at from a growth rate is our starts.
Carl Reichardt: Okay. Sure. I'm thinking really just more about modeling orders. But fair enough. I'm assuming there'll be growth this year. That will be the thinking just given what looks like it's in the book in terms of inventory. So that's where I'm headed. And then, Rick, you also mentioned talking about your cash position and opportunities that you might see in the marketplace? Well, okay. So we could look at potential acquisitions. We could look at more share repurchase activity jumping up. We could look at just continued focus on growing the land pool. As you think about the alternatives for capital -- spare capital that you have, where would you sort of rank those options right now?
James Brickman: Well, actually, we rank them internally but not externally. So I really can't share [multiple speakers].
Carl Reichardt: See a chance to do it externally, Jim.
James Brickman: Yes -- but it's an interesting process. And I'll give you an example. We were looking at a very low land transaction in Austin yesterday that's unique. We've been working on it for a very long time. We have a very similar deal in Dallas that we've been working on for a very long time. We have a very long firm deal. We've been looking in Atlanta. We've been trying -- working on the entitlement for 2 years. And we're waiting to see how all those things play out against buying stock and investing more in our business. I can say that we probably aren't going to be an acquirer of a private builder, everybody ask how is your A&D looking. I look at deals. Actually, the deal flows have slowed down because I think all of the boutique brokers know that any of the deals that they show us are not going to be accretive to our earnings. So our deal flow from an acquisition of a private builder is virtually stopped. 
Richard Costello: And Carl, you could see from, I believe, Jed mentioned that our land finished lot and land development spend is going to go up from $430 million to over $700 million or approximately $700 million. That's subject to deals penciling out and getting ready to close, like Jim just mentioned, as these things require constant attention. But that's quite an increase. Our cash flow is exceedingly strong, given our margins, given our increasing volumes, et cetera. So it's a good problem to have. We're still with $180 million on the balance sheet, nothing drawn on $360 million of lines of credit. We have tremendous liquidity and the ability to move in a moment. So it's clearly a function of what presents itself in terms of being ready to close on the land side.
Carl Reichardt: That makes a lot of sense. All right, thanks. Appreciate that. 
Operator: Since there are no further questions at this time and it does conclude today's conference call. Thank you so much, and you may now disconnect.